Operator: Good afternoon and welcome to this Inpixon Business Update Call. All participants will be in listen only mode. [Operator Instructions] I would now like to turn the conference over to David Waldman, President and CEO of Crescendo Communications LLC, the company's Investor Relations firm. Please go ahead sir.
David Waldman: Good afternoon and thank you for joining today's conference call to discuss Inpixon's corporate developments and financial results for the 2020 fiscal year ended December 31, 2020. With us today are Nadir Ali, the company's CEO; and Wendy Loundermon, the company's Chief Financial Officer. Today, Inpixon released financial results for fiscal year ended December 31, 2020. If you have not received Inpixon's earnings release, please visit the company's Investor Relations page at ir.inpixon.com. During the course of this conference call, the company will be making forward-looking statements. The company cautions you that any statement that is not a statement of historical fact is a forward-looking statement. This includes any projections of earnings, revenues, cash or other statements relating to the company's future financial results, any statements about plans, strategies or objectives of management for future operations, any statements regarding completed or planned acquisitions or strategic partnerships and the anticipated impact of those transactions on our business, any statements concerning proposed new products or solutions, any statements regarding anticipated new customers, relationships or agreements, any statements regarding expectations for the success of the company's products in the U.S. and international markets, any statements regarding future economic conditions or performance, including, but not limited to, the impact of COVID-19 on our operations, any statements of belief and any statements of assumptions underlying any of the foregoing. These statements are based on expectations and assumptions as of the date of this conference call and are subject to numerous risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Some of these risks are described in the Safe Harbor section of today's press release and the public periodic reports the company files with the Securities and Exchange Commission. Investors or potential investors should read these risks. Inpixon assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. In addition, to supplement the GAAP numbers, the company has provided non-GAAP adjusted net loss and net loss per share information in addition to non-GAAP adjusted EBITDA information. The company believes that these non-GAAP numbers provide meaningful supplemental information and are helpful in assessing our historical and future performance. A table reconciling the GAAP information to the non-GAAP information is included in the company's financial release. I'll now turn the call over to Nadir Ali, Inpixon's CEO. Please go ahead.
Nadir Ali: Thanks David. Hello, everyone and thank you for joining us. Got a lot to cover today. So I'm going to jump right in. Despite the pandemic related challenges that practically every business has faced around the world, 2020 continued to be a year of growth and expansion for Inpixon. We grew revenue by 71% in the fourth quarter and 48% for the year, compared to the previous year periods. Even sequentially from Q3 to Q4 in 2020, we saw approximately 50% growth. We've acquired new technologies to expand our product offerings and market opportunities. We acquired new customers and one of our new customers uses our technologies to help visualize the tracking of COVID-19 vaccine production and something we're very proud of -- proud to be part of. And I'll talk about some other customers in a bit. We also expanded our customer base and operations in Europe, with new offices in the U.K. and Germany. And with the Nanotron acquisition in Q4, we entered new verticals like industrial, mining, transportation, and even smart farming. In addition to the growth and expansion, we've also continued to innovate and improve on our products. So I want to touch on a few of those points with you. We launched a new version of our Inpixon mapping platform. And really what we we’re trying to do there was to support large enterprise organizations and to do that we simplified integration with third-party data and apps. We added single sign on to manage multiple accounts, which is a key time saver for our larger partners who administer maps for several clients or tenants. We added UWB detection and IPv6 support for Inpixon aware sensors that detect known and unknown devices and enforce no phone zones. We've also been adapting our Inpixon analytics to ingest data from our RTLS product line and to address new use cases and verticals, as customers think about safety and security in the new hybrid work environment that we're all facing today. These analytics provide insights into space utilization to help plan staffing levels or to measure crowd density by zone. Some specifics here on the analytic side, there's new calendar views, which allow users to quickly examine gates of interest, or maybe analyze specific zones with heat maps to scan for crowding and bottlenecks. Additional features we've added include loyalty metrics, event analysis, and we've integrated weather data, voice recognition and chatbot functionality has also been added. So, lots of interesting developments on the analytics front. And let's go to the RTLS products. We've been improving, expanding and expanding our capabilities there for more verticals that increase productivity and safety at work. I'll get into some very interesting and real life customer examples that we're working with later in the discussion here. And then, as you saw, in a recent press release, we also introduced a new CO2 center for use in measuring indoor air quality, an important indicator of COVID and other pathogen transmission risk. So the total impact of all these capabilities gives us a significant technical and unique advantage, unique because I think we're the only company that I know that's integrating all of these key components of indoor intelligence into one platform, which really saves our customers time and money and can deliver better ROI. And I'd say the market is taking note of these accomplishments and what we're putting together here. We've been recognized and profiled by Gartner, which I'm sure as many of you know, is trusted by large enterprise executives in several key areas. Two years ago, Gartner recognized us for the first time only as a niche player. Since then, in 2020, we've advanced firmly into the visionary quadrant. And then in this year's 2021 Magic Quadrant report, we saw advancements, again, both on our ability to execute and completeness of vision, which are the two measurements that they look at. Also, this year, we were rated by Gartner for our ability to offer critical capabilities across various indoor location service use cases, including zone asset tracking, people tracking, RTLS for indoor location services. So pretty excited about the recognition and the support we're getting there. I don't know if you saw it. But earlier this year, we released our inaugural state of the Indoor Intelligence survey, which analyze results of 143 responses across a range of industries and company sizes regarding the rate of adoption of Indoor Intelligence Technologies during and following the pandemic. From our perspective, the study confirms that the adoption curve associated with Indoor Intelligence technologies is accelerating. We're seeing that from other sources and we'll touch on that in a minute. Indoor Intelligence solutions are being used for multiple purposes, including organizational and operational improvements, customer facing solutions and employee facing solutions. The top use cases deployed through 2020 covered job site worker safety, building energy efficiency, asset tracking and indoor navigation and wayfind. You'll see that correlates with some of the use cases and customers that we're working with. So that tracks very nicely with what we're seeing. Given these and other findings from our research, its evident the workplace transformation and the digital workplace solutions are going to play a huge role in 2021. And we're going to dig into that a bit here as well. And in fact, if you take a look at some of the outside research beyond just ours, you'll find that the pandemic has also accelerated real estate digitization program, essentially mapping hybrid working models, and space rationalizations, lots of companies are thinking about how to rework their spaces, how much space they need in this new hybrid working environment. Corporate enterprise organizations, here in the U.S. and in most parts of the world, still haven't opened, as you guys know, but they are eager to get started, right. And they need to reinvent what that office environment will look like and need to prepare now, because there's lots of talks about, vaccination, rollouts and timings and people are all starting to think about similar timeframes of reopening. So we're seeing a lot of interest and demand starting to heat up now because everyone's thinking about the same timeline, reach of the U.S., certain geographies are a little bit lagging behind but there's definitely momentum in that movement. The adoption of technologies and solutions that facilitated remote work capabilities were a necessity over the last year as I’m sure you are seeing with Zoom and other solutions out there. While many businesses find that they can be reasonably productive with employees working remotely, many employees also found that it was difficult to work from home, right. So there's a mix of results there about working from home. And that's what's really driving this hybrid model. So, not surprisingly, employers are planning and anticipating a hybrid workforce model that's going to continue to be here and to be able to offer flexible work locations, to their employees, to both increase safety and to appease what workers want or what employees want, not everyone's looking for a five day work week in the office, right. So some folks want to completely stay at home, some folks want to be in the office all the time. But there's going to be a mix of these things. And that's here to stay, even after the pandemic disappears. In addition, there's also been a high emphasis on ensuring safety and security of employees in the work environment. How that looks and what that will entail, in light of the most recent challenges, is going to be a lot different than what it was in the past when we thought of safety and security, right. So whether it's COVID-19, or god forbid, a future pandemic or other safety issues, this is now starting to play a bigger role in how businesses are thinking about safety in the workplace. So we're actually seeing the timing come together, as I mentioned and we're anticipating that the traditional back-to-school season will also get back to work season, if you will. So we're talking to a lot of large enterprise organizations that are looking to reopen their businesses safely during the summer and fall. So they need to start thinking and planning and putting in solutions now to make that happen. So responsiveness, adaptability, flexibility, these are the important attributes of the new normal that businesses are thinking about. They need to be smarter, safer and secure and Inpixon is ready to serve these customers. So let me tell you about one of our customers that's going through this right now and how we're helping them to address these new challenges. Sorry, my voice is a little hoarse; I'm just getting over something, but bear with me. So this customer, this is a model where we're implementing, actually with this customer, but also several other customers and what we expect will be what is expanding in the coming months, with many clients. And while we're limited by confidentiality, in maintaining this customer, I can tell you, they're one of the largest companies in their industry. They're more than 10,000 employees and numerous locations around the globe. So here's the problem they shared with us. And it's the same problem, again, that we are seeing countless of other large companies facing. So they said, look, we're planning to reopen our offices soon, some of our employees don't feel safe coming back in and they'd like a flexible work location setup. So how do we, meaning the customer, how do we practically speaking provide a environment that both reduces the chance of infection and helps our employees feel safe? How do we transition to a hybrid workplace with flexible work locations and scheduling? How do employees collaborate, while some people are in the office and others are at home? How do we keep remote workers engaged? And how can we respond if we're notified of infected workers at our location. So to work through some of the challenges for this customer, we've now mapped over 1.5 square million feet of space. If their headquarter campus with more than 15 separate buildings and 30 floors. The implementation requires complex and detailed mapping of the campus grounds. And by the way, many of our competitors will likely struggle managing the implementation of this magnitude, the platform's just aren't responsive enough and would probably slow to a crawl doing the scale that we're talking about here. We've plotted and labeled the location of entrances and exits and valid pathways, destinations, amenities, such as restaurants and other points of interest. And this work enables the app user, the employee, they have an app to search for and navigate to the desired destination and even offers turn by turn directions as they walk using our own device positioning. So you can start seeing how our core technologies of mapping and on device positioning et cetera, are really driving this new return to work right in this hybrid model, because these fix desks and offices are going to transform into generic ones that you will book and use as and when you come into a particular location. Next, we needed to allow for flexible work location model, right so to allow employees to book desk to work and rooms to collaborate, right? So we plotted nearly 5000 into job desks and meeting rooms for this client as a level of detail that you will not see in most corporate mapping deliverables. Our maps combined with our partners app features allows employees not only to reserve their workspace culture to help ensure social distancing, because the administrator can, for instance, turn off the availability of every other desk. So, we're still kind of facing and living with certain rules and conditions of social distancing and pandemic restriction. So that still has to be in the background here while companies are reopening and bringing employees back in. So we can help facilitate that. And for the employee, when they open their employer provided app, they'll get information like the company news feed and events listing. And most importantly, from our perspective, they'll see available spaces and they can now plan out their work day, employee can find an appropriately socially distance desk that's available, they can book a conference room, or maybe, book desks near other folks that they're collaborating with, search for particular amenities, whiteboards, play monitors, right other assets that the business may have, because you can integrate asset tag into all of this as well. Really allowing business owners and facility executives to invest in the workplace and leverage technologies and solutions that will help them deliver on this hybrid work location, right. And that's what's going to attract and also help retain employees and to keep remote workers engaged and feel safe when they're coming back. So we're definitely seeing really strong demand for this new smarter, safer and secure workplace. And I'm really excited that we've got the ability to drive this transformation, our teams have been working hard to adjust and pivot our solutions to help customers as they are reopening their offices. So let me switch gears a little bit because there's a whole another area that we are anticipating significant growth with and opportunities for indoor location, and that's with RTLS technologies, Real Time Location Services. So our acquisition of Nanotron at the end of last year, has given us a strong foothold in this arena, ultra wideband which we've talked about, on several calls and CSS technology, the chirp technology, those RTLS tags and anchors are critical to helping employers keep their workers safe and in inherently dangerous environments such as mining, industrial, or even factory settings. And I'm going to talk about a couple of examples here. These environments require real time positioning of people and assets with positions and distant measurements that need to be calculated in milliseconds. For worker safety, use cases such as collision avoidance and proximity. Historically, our RTLS solutions have been offered in these sectors as modules or components of a third-party tag, or solution. So we're extending our capabilities, investing in this area to deliver solutions to meet the needs of customers in these sectors with our own tags that incorporate both UWB and the CSS chirp technologies. So let's talk about a few examples of how our customers are using these RTLS solutions in the mining and industrial factory settings. And I'll also share some examples of how this technology is being applied into new areas as well. And if you look at the Gartner reports, et cetera, you'll see that is, RTLS is one of the biggest segments in indoor location and generates a lot of dollars. So this is why we did this acquisition in the first place and why we're continuing to invest. So in my mind, I'm thinking of the office, return to office space as one category, factories, as you know, have been running for the most part, even during COVID. And so this is another area that we think is really a growth potential for us and we're excited to be part of. All right, so mining is one sector that we think is definitely have some tough challenges. It's a dangerous environment and expensive to operate. Employers have to keep their workers safe, but they also need to comply with stringent government imposed safety regulations. It requires real-time positioning of people and assets, not near real-time, this is real-time because knowing for instance, that a person and a truck are on a collision course, 10 seconds to go is not good enough, positions and distance measurements often need to be calculated milliseconds as I was saying and we can deliver to these requirements with our solutions. So we have a customer in the mining industry. We actually had several that has integrated our transceivers in to the light assembly that goes on a miner's helmet, they call them cap lamps. They've also integrated our technology into units attached to mining trucks, diggers and haulers. They've attached them to ceilings and portals in key locations throughout the mines tunnel system. And the result is, one, they can quickly locate workers, vehicles and equipment; they don't waste time, right? If they need truck 72, they can go right to level 12, section 5A and find truck 72. Two, we enabled their collision awareness system. So specifically, if two vehicles or a personal vehicle are getting to near one another, a yellow light provides a warning and it gets progressive alarms going from yellow to red, and then to an audible buzzer as they get closer and closer. Three, ventilation is really important, as you can imagine in these mines, so ventilation on demand. So mining ventilation that includes heating, cooling and air change is a significant cost contributor for underground mines. So knowing the position and countered your miners and the machinery allows you to trigger our ventilation activation, and in the optimum volumes, depending on where are the activities to be placed. Plus, there are a number of other intriguing applications of automation. So for instance, a vehicles location can trigger the opening of a door as it approaches. It can even change traffic light signals to give priority to a heavier awaited vehicle. So we're not only providing ROI in terms of safety for these customers, but also in terms of productivity and efficiency that definitely impact dollars. We also have another customer that we are working with to provide tags with our CSS, and ultra wideband technology for use in the factory setting in order to really enable real time visibility of equipment and other critical assets within their facility to increase operational workflow efficiencies. So this is pretty standard across most industrial manufacturing type factories and what you would see in a production line for worker safety and things like that. So for work safety to detect worker movement within and around specific sensitive areas, and zones to automatically inform safety personnel, their status and location, things like that to drivers. And in this scenario, we're extending our historical RTLS product line for modules and chips, being included as components of a third-party product, to really move into our own complete solutions for the industrial manufacturing sector. So we're able to do this because we can leverage Inpixon's broad set of technologies, capabilities and experience with finished sensors, anchors, tags, et cetera and combine it with also our front-end capabilities with user interfaces, our analytics platform are matched. So where Nanotron, really, and will continue to move forward on this front with chips and modules, we're now taking it up the stack with complete solutions in the industrial manufacturing space. This not only helps us compete with some of the RTLS leaders, but also significantly increases our ASP, our average selling price. These kinds of use cases can not only increase safety and lower costs, they can ultimately result in more and the industrial use cases, more times of haul, equipment are tethered to the surface and provide other key metrics for these customers. So as I mentioned, some of these technologies are being applied to solve problems with new use cases in new industries. So I want to touch on a couple of new use cases that are kind of interesting and wouldn't have come to my mind right away. But we have a customer for example, in a country where large public pools are very popular and very crowded. So many of the visitors aren't great swimmers and the poor mandate each swimmer wear a rubber cap with a locator. So in this case, UWB transceiver tags are attached to swimmers caps and they communicate with our UWB anchors and location engine. If a swimmers radio signal strength drops below a certain level for too long, which will happen if the swimmer goes in the water for too long, the lifeguard is alerted as to their location. And not only that the parents of a child can monitor the well being of the location -- the well being and location of their child in the pool, through an app on their phone so very diverse use cases where RTLS can have an impact. And safety and security is what drives many of these solutions. So we talked about collision avoidance and talking about swimming pool case here. And that's, tied to what we set out in our vision with Inpixon, which is to do good with indoor data. So I love these use cases where we're really helping provide safety and security for people that are involved engaged with our solutions. But we're just scratching the surface with -- of the many, many applications for RTLS and ranging solutions. And as we've discussed in the past, UWB is an important technology and will continue to be. So in the future of indoor intelligence, we've talked about Apple incorporating into their phones and Samsung and others are also doing this. And so in particular with RTLS, this will continue to play a big role. Along with that, it's made us think about partners and opportunities in the space and seeking advice on how to how to grow this business. So I'm pleased to share with you guys that Rick Clemmer, who's the former CEO of NXP Semiconductors, a leading provider of embedded controllers for industrial Internet of Things, mobile and communications infrastructure, is going to be joining Inpixon as a member of its advisory board. Rick's expertise and experience with UWB and related technologies and of course, his general business acumen will be invaluable to Inpixon and we are lucky to have someone of Rick's stature involved in working with us. We are also co-investing with Rick in an app based sports performance analytics firm, called game your game. Game is currently focused on the golf industry with a suite of products that leverage IoT sensors, maps and location technologies to serve golfers and golf facilities with products that are designed to help players improve their scores and to enable course managers, green keepers and architects to lower costs and improve the pace of play. So this is just one example of how the sports industry is also leveraging location based technologies, including IoT sensors, mapping and RTLS technologies and the data that can be derived for them to help understand enhance player and team performance, to increase fan engagement, to increase safety and improve operational efficiencies in sports venues. And this information can be leveraged by the players, coaches, sports broadcasters, fans, teams, venue owners and managers. We're seeing that across the sports industry, from the NFL and others to start using this type of technology. So this is another interesting use case and opportunity that I think we can definitely look at as growth potential for Inpixon in the future. And we started with this co-investment with Rick. But I think that's another area that will continue to be an opportunity for us. So to summarize, we are growing revenue, we're innovating our products and expanding our solutions in RTLS and experiencing incredible demand in this return to office space that I've talked about which we're investing more and more of our time and resources into. And I believe that trend will continue. And I'm very bullish on where that could lead in the coming quarters, as companies across the globe, tried to figure out how to get back to work in this new normal that we're all living in, in terms of hybrid work models. So suffice it to say, we're looking forward to a great 2021. I think companies are going to have to start moving now to be able to reopen in summer and fall. And so we're definitely seeing that top of the funnel interest in demand and looking forward to converting that as we execute and grow in '21. So in a bit, I will come back and answer some of the questions that you've submitted to our IR firm. But first, I'd like to turn it over to Wendy Loundermon, our CFO for a discussion on the 2020 financial results. Wendy?
Wendy Loundermon: Thank you, Nadir. Revenues for the year ended December 31, 2020, were $9.3 million as compared to $6.3 million for the comparable period in the prior year for an increase of about $3 million, or approximately 48%. Revenues increased approximately $1.2 million from the Systat licensing agreement, approximately $900,000 from the Nanotron acquisition and approximately $900,000 from existing product lines over the prior comparable period. Gross profit for the year ended December 31, 2020 was $6.7 million, compared to $4.7 million for the comparable period in the prior year for an increase of 42%. The gross margin for the year ended December 31, 2020 was 72% compared to 74% for the year ended December 31, 2019. This decrease in margin is primarily due to lower gross profit margin from the Nanotron acquisition. Loss from operations for the year ended December 31, 2020 was $23.8 million as compared to $20.8 million for the comparable period in the prior year. This increase in loss of approximately $3 million was primarily attributable to higher operating expenses, offset by the increase in gross profit for the year ended December 31, 2020. Net loss attributable to stockholders of Inpixon for the year ended December 31, 2020, was $29.2 million, compared to $34 million for the comparable period in the prior year. This decrease in loss of approximately $4.8 million was primarily attributed to the increase in operating expenses, offset by the increase in gross margin and the decrease in the valuation allowance adjustments. Non-GAAP adjusted EBITDA for the year ended December 31, 2020, with a loss of about $17.1 million compared to a loss of $11.1 million for the prior year period. Non-GAAP adjusted EBITDA is defined as net income or loss before interest, provision for income taxes, depreciation and amortization, plus adjustments for other income and expense items, non-recurring items and non-cash items including stock-based compensation. Pro forma non-GAAP net loss per basic and diluted common share for the year ended December 31, 2020, was a loss of $0.71 per share, compared to a loss of $18.75 per share for the prior year period. Non-GAAP net loss per share is defined as net loss per basic and diluted share, adjusted for stock based compensation, amortization of intangibles, provision of doubtful accounts, severance costs, acquisition costs, costs associated with public offerings and one-time charges including the loss on exchange of debt for equity and valuation allowance adjustments. Cash on hand at December 31, 2020, was approximately $80 million. However, we raised approximately $78 million in net proceeds since January 1, 2021 from sales of our securities including the exercise of warrants. This concludes my comments, and I now like to turn the call back over to Nadir.
Nadir Ali: Great. Thanks, Wendy. David, would you please lead us through the Q&A discussion?
A - David Waldman: Yes. Thanks Nadir. And like last quarter in our earnings data announcement, press release, we suggested interested parties submit their questions in advance, we'd like to address those questions for you now. Some of them were duplicative. So we did our best to reconcile those where possible. If you have any further questions after the call, please feel free to follow up with Investor Relations. And we'll be sure to respond as quickly as possible. So our first question, you recently raised a good amount of money and safe use of proceeds may include future acquisitions or other strategic activities. Can you elaborate on this?
Nadir Ali: Sure, yes. As I discussed over the course of the call, we're definitely in a solid financial position to execute on our growth strategy. This may include acquisitions that complement, or further enhance our overall platform and would ideally be accretive to earnings. That's what we're typically looking for. The bottom-line is that we intend to put this capital to work to deliver growth in terms of top-line, bottom-line, as well as their stock price and market cap. So that's the focus of how we're going to invest this capital and where we're headed with it.
David Waldman: Great, thank you. Our next question, you mentioned, you're working with Fortune 500 companies and large pharmaceutical companies, but have not released any names. Can you give a better sense of the types of companies and some examples of the work you're doing for them?
Nadir Ali: Yes. So, most of our customers, as you've heard me, say, in the past, don't allow us to name them. And these are typically larger household name type companies that for security or other reasons, decide not to share that information. So we've talked about some of our customers today that I can share a few descriptions of the types of companies that we engage with and work with. And even some of the examples that you heard me mentioned, 10s of 1000s of employees or millions of square feet. So, I hope you understand that, we are dealing with larger companies. But some clients are, for example, a major technology company that's looking at managing employees and visitors for security purposes. And then also thinking about, contact tracing and now is going to have to think about the return to work stuff that we've talked about today. We've got a major pharmaceutical company for mapping and asset tracking capabilities, an international hardware manufacturer for both our mapping and wayfinding solutions on their campus and their -- with our partner implementing desk booking and hotelling for their office space. I would probably add that our pipeline is growing significantly as companies look to reopen the offices as I alluded to in the call. So we're engaged with a variety of companies including multi billion dollar financials services companies, technology companies, manufacturing, online marketplace companies and of course, government agencies that we've traditionally worked with. And I've been listening to some of these customer calls and it's clear, the customers have some real pain points that we can help solve for them as a reopening. So it's an opportunity for us to see that we've got real product market fit as we move forward with the solution. So we're excited about that.
David Waldman: Great, thank you. Our next question is, we see that you have continued to hire, can you expand on if and how these hires are helping to generate additional revenue?
Nadir Ali: Sure, yes. I mean, we are hiring primarily in sales, marketing and customer success to drive and support the expected growth in revenue. We're focused on scaling this business, and that does require some upfront investment in these areas.
David Waldman: Great, thank you. Our next question is, what are the future projections for the company?
Nadir Ali: Well, so we don't provide guidance, having provided guidance historically, or projections related to company. But, as I stated, before, we do believe our solid financial position combined with the increased interest in the solutions and the acceleration in the market that we're going after do make me feel optimistic about our growth, as well as our ability to execute on these new markets and verticals.
David Waldman: Great, thank you. Our next question is outside of the pandemic tracing efforts, what are the top industries or uses where Inpixon products will be leveraged?
Nadir Ali: So the biggest demand, again, that we're seeing is around this whole return to the office, the new hybrid work from home or office model, and that's across different industries, or verticals, if you will. And so I believe that'll drive definitely a lot of growth for us. And the best thing about, its global, right, so we're seeing opportunities, not only here in the U.S., but across the globe. And then, second would be the RTLS market. I mentioned that's also one of the biggest segments in the indoor location space and sometimes through older technology solutions with RFID. And so we've got an opportunity to grow that business with our ultra wideband solutions. So we've got a lot of untapped potential with our products and how we apply them to these industrial manufacturing sectors. And then, finally, I'd say, one of our core swim lanes and really, the foundation of where Inpixon got its start is, is in the security and safety space with our sensors, our device detection sensors. And so those are typically larger dollar value projects up front. And there's interest from government agencies and certainly large commercial customers alike. So that continues to be a potential growth opportunity for us.
David Waldman: Great, thank you. And our last question is, are there any plans to get the platform into hospitals? Or if you're already working with hospitals to get Inpixon mapping integrated? If so, are there any prime areas or hospitals, the company is already working with?
Nadir Ali: Yes, absolutely. So we are currently deployed and active at a number of hospitals, including multiple locations of the national chain. Hospitals are a great fit for us, right one, because they're usually complex facilities. We've all probably gotten confused trying to find a lab or patient's room. So the user slot for Wayfinding, intelligent navigation. But we're also working with healthcare focused solution providers to integrate with systems such as asset tracking to find, IV pumps or other equipments that you'll typically see in the hospital and also for patient experience app. So for instance, you integrate maps with appointment scheduling systems and visualize wait times in a map and of course, then for Wayfinding. So yes, we we've had good success in hospitals. And we'll continue to pursue them strongly because we think we can help improve patient experiences, reduce costs and generally enhance the safety in the hospitals.
David Waldman: Great, thank you. Well, that concludes the Q&A and I'll turn it back over to you for the close.
Nadir Ali: All right. Thanks David. So in closing, I guess I want to highlight just our goals and objectives for success before I leave you. So, one, I would say our goal is to really establish ourselves as a leader in the indoor intelligence market. You've heard me say before that it's fairly fragmented. There's no 800 pound gorilla, if you will, right? There's some legacy players on the RTLS side with older technologies. There's the Ciscos and Arubas that have some indoor location analytics as a byproduct of their access points, but not their main focus. So, we intend to become the premier provider for indoor intelligence, delivering the power of mapping, locationing, and actionable intelligence for smarter, safer and more secure environments and really tap into the growing industry demand in this space. Organizations are increasingly realizing the value of indoor intelligence and how it can be leveraged. And we talked last time about how the pandemic actually created more awareness around the value in use of indoor data. And so we're continuing to see that as people return to, or make plans to return to the office or target industries, with the highest rate of adoption and looking at, areas like commercial real estate or corporate enterprises, manufacturing, industrial healthcare we just talked about, as well as financial services. In terms of growth, we're also looking at acquisitions and collaborations. So we continue to value very strategic transactions, including companies with technologies and intellectual property that'll complement our goals by adding technology, differentiation, customers, geographies that we may not have our presence in and certainly revenue. And we're also primarily looking for accretive acquisitions that have business value and operational synergies that can offer us cross-sell and upsell opportunities. And certainly, we have a solid balance sheet that we're going to leverage we have $80 million of cash. And as you heard, Wendy say, we've raised net proceeds of approximately 78 million, this cash may help us not only meet our operational requirements, more than sufficient for that, but also to invest in the growth and as a part of that, that we're also looking to grow this business organically. And so we're looking forward to showing those results in '21. So I'm very optimistic about the possibilities and opportunities for Inpixon 2021 and our growth trajectory and what I'm seeing here. And so with that, I'd like to thank you all for joining us today and shout out to our customers and partners and our amazing employees across the globe for your continued support. Thank you, everyone. Take care.
Operator: Thank you, ladies and gentlemen, this does conclude today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.